Operator: Good day, ladies and gentlemen, and thank you for standing by, and welcome to the first quarter 2010 Rambus Incorporated conference call. Currently, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. (Operator instructions) As a reminder, this conference may be recorded. And now, I would like to turn the conference over to our speaker, Satish Rishi. Sir, please go ahead.
Satish Rishi: Thank you, operator, and welcome to the Rambus first quarter 2010 conference call. I am Satish Rishi, CFO, and on the call today are Harold Hughes, our President and CEO; Tom Lavelle, Senior VP and General Counsel; and Sharon Holt, Senior VP of Licensing and Marketing. The press release for the results that will be discussed here today has been filed with the SEC on Form 8-K. A replay of this conference call will be available for the next week at 888-203-1112. You can hear the replay by dialing the toll-free number and then entering ID number 68105210 when you hear the prompt. In addition, we are simultaneously webcasting this call and a replay can be accessed on our Website beginning today at 5:00 P.M. Pacific Time. I need to advise you that the discussion today will contain forward-looking statements regarding our financial prospects, pending litigation and demand for our technologies among other things. These statements are subject to risks and uncertainties, which are more fully described in the documents we filed with the SEC, including our 8-Ks, 10-Qs and 10-Ks. These forward-looking statements that differ materially from our actual results and we are under no obligation to update these statements. Further as we have in previous calls, we will discuss non-GAAP financial measures on the call today and we have posted on our Website reconciliations of these non-GAAP financial to the most directly comparable GAAP measures. You can find a copy of earnings release and reconciliation on our Website at www.rambus.com on the Investor Relations page under Financial Releases. Before I turn the call over to Harold, I would like to take a few minutes to talk about how we will report revenue for deals like the $900 million Samsung agreement we announced in January. For an agreement as the Samsung agreement, generally accepted accounting principles, or GAAP requires us to identify the elements of a multiple element arrangement, establish the accounting fair value of each element and allocate the consideration received to each element based on these calculated fair values. The accounting elements of the Samsung agreement contains past and future royalties, resolution of litigation and Samsung’s equity investment in Rambus as well as the MOU. Of the $425 million paid by Samsung in the first quarter, $137.1 million was recognized as revenue, $95.9 million was recognized as a contra operating expense that is a reduction in operating expenses which we are calling gain from settlement, and $192 million was recognized in shareholders’ equity. For the remainder of this year, Samsung will pay us $25 million every quarter, of which we will recognize $14.7 million in revenue and the balance of $10.3 million in gain from settlement. All $25 million will be recognized in the quarters received and all of it will flow to the operating income line, but we are required to allocate between revenue and gain on settlement. In the first quarter of 2011, the allocation will change to a revenue of $18.8 million and $6.2 million to gain from settlement, and starting in the second quarter of 2011, the allocation will be to 100% of revenue. Nothing is simple. Given this complication of allocations and in order to continue to provide meaningful insight into our performance and outlook, we are introducing this quarter a new metric, which we have termed customer licensing income. This income to revenue other amount recognized in the income statement associated with customer licensing, in this case, the gain from settlement. So, for the current quarter, the customer licensing income is $257.8 million, which includes $161.9 million of revenue and $95.9 million from gain from settlement. We will use this new metric when we provide guidance later in the call, and we will be happy to address any questions during the Q&A. With that, I will turn the call over to Harold.
Harold Hughes: Thanks, Satish, and good afternoon everyone. First quarter of 2010 was a pivotal one for Rambus. We view the Samsung agreement signed in January as a transformation event for the company. It helped drive customer licensing revenue of $257.8 million, that was the new metric described by Satish a few moments ago, and record revenue of $161.9 million. It demonstrates the success of our value creation strategy, which is to innovate, drive adoption and monetize. But the foundation of that strategy is innovation and our commitment to innovation has never faltered. Since I joined the company as CEO at the beginning of 2005, the challenges we have faced have been legion. Nonetheless, during that time, we have put a high emphasis on continued investment in innovation, and we are focused on trading an environment that would attract and retain some of the best minds in our industry. Samsung recognized the technical capabilities of the Rambus team and the advantages of bringing together the strengths of our two companies. We have worked together on XDR DRAM for over five years and most recently, Samsung launched its 1-Gigabit density XDR DRAM. Now that Samsung has a broad patent license, it enables our company to work together on development of future platform solutions. As the leader of the memory market, Samsung has the strongest capability to bring new technologies to market. We believe they are a terrific partner and look forward to collaboration on solutions for mobile, graphic, high-end compute, and high-speed NAND memories. As we have said all along, collaborating with industry leaders like Samsung has always been our goal. We have amply demonstrated that we will litigate if necessary to defend our intellectual property. The much preferred is working with partners like Samsung to create great products that will benefit consumers and generate long-term value for our shareholders. And these reasons are why we view the agreement as transformational. And more recently, we announced the renewal of the AMD patent license. Both Samsung and AMD agreements recognize the ongoing value of our patent, our portfolio of patented inventions. It’s value that reaches beyond that of the original family of patents developed by our founders, and its value that was created by sustained commitment to innovation over the course of many years and has resulted in 970 issued patents and another 674 pending applications. That commitment was also demonstrated by the great progress made by our technology initiatives during the course of the quarter. In February, just a year after its launch, our mobile memory initiative culminated in the introduction of the ground-breaking Mobile XDR Memory Architecture. This platform offers a high bandwidth, low power memory solution tailored to the power and performance requirement next-generation mobile products. Mobile XDR Memory Architecture delivers data rates of up to 4.3 gigabits per second with unmatched power efficiency. With this breakthrough performance, mobile platforms can achieve over 17 gigabits per second of memory bandwidth from a single Mobile XDR DRAM device. Bandwidth like this makes possible advanced applications like HD video capture and 3D gaming. And Mobile XDR Memory superior power efficiency means that users can have an additional 30 minutes or more battery life under these demanding applications. We have demonstrated the Mobile XDR Memory Architecture at the Mobile World Congress in Barcelona, and just last week, showcased it at the Intel Developer Forum in Beijing. We were receiving positive feedback on the architecture from potential customers. We think Mobile XDR is going to be a key enabler of next-generation mobile phones. Also at IDF Beijing, Rambus Fellow Craig Hampel delivered talk on the benefits of the threaded module architecture, like the prototype we co-developed with Kingston that its modules can significantly increase performance of industry-standard memories. As multi-core computing become pervasive, DRAM memory subsystems will be severely challenged to deliver their required data throughput. Our module threading technology employs parallelism to deliver the higher memory bandwidth needed for multi-core systems. It also reduces overall power consumption, something the industry is clamoring for. It’s another great example of the fruits of our innovation efforts. We have also seen very strong interest in our Lighting and Display Technologies. LED edge-lit solutions using our patented MicroLens technology hold great promise for both general lighting and for backlighting of LCD displays. LED backlighting of LCD displays will soon be ubiquitous across our focus markets. We recently hired two additional industry veterans, Dr. Kieran Drain and Marc McConnaughey to help us build momentum in our lighting and display business. We have demonstrated prototypes of our Lighting and Display Technology at a number of industry events around the world, including CES and DesignCon in the US; Mobile World Congress, Barcelona, DisplaySearch, Taipei; and IDF, Beijing. The creation of our Lighting and Display Technology business demonstrates how Rambus can be a magnet for innovators. Our environment that fosters innovation, our licensing strength and our business strategy will make Rambus a great home for teams of innovators to create new businesses. With the Rambus platform, inventors can see their work adopted in the market and realize the value that they have created. Consistent with our strategy of road to diversification, we plan to build more businesses like lighting and display. We will great benefit from the strengths of the Rambus platform and deliver even greater value to customers and shareholders of this company of investors. And with that, I will turn the call over to Tom.
Tom Lavelle: Thanks, Harold, and good afternoon everyone. For the legal update, let’s start with the ITC. The ITC’s administrative law judge found three Rambus patents were infringed by NVIDIA and not invalid, two Rambus patents were infringed, but found invalid by Judge Essex. Both sides filed petitions for review by the full commission in this matter and the commission decided to review validity issues with respect to all five patents, but not the administrative law judge’s finding of infringement. We expect to file the termination by the commission on or about May 24th of this year. Turning to the coordinated appeals of the Hynix and Micron cases, our argument was heard before the Court of Appeals for the federal circuit on April 5th in Washington DC. The issue is being discussed where Hynix has appealed of $397 million judgment against them, and our appeal of the Micron Delaware decision. Given the timing and the fact that Chief Judge Michel is expected to retire soon, we are expecting the results of this hearing sooner than usual, possibly as early as the end of May. We are confident in our arguments and look forward to the outcome. Moving now to the price fixing case in San Francisco, we continue to have free trial hearings before Judge Kramer where various are being discussed. Judge Kramer has yet to reset a trial date as issues remain relative to our Samsung settlement. We continue to seek a trial date so we can begin the process of presenting our case to the jury. There have been a number of updates over the past quarter relative to the re-exams in the United States Patent and Trademark Office. Some of the latest involves re-exams of certain Farmwald-Horowitz patents that were at issue in the Hynix and Micron cases. The US PTO has issued a notice of intent to reissue a certification, re-examining certificate confirming certain claims in the 105 patent, including one claim that was found infringed and valid in the Hynix case. This essentially concludes the re-exam proceedings relative to this patent. Also, the PTO issued an advisory office action and re-examination proceedings for the 918 patent. The advisory office action essentially confirms two claims within the patent that were found valid and infringed by Hynix, but maintained a rejection of another claim within the patent. And just today, we learned that the US PTO has issued a re-examination certificate on our 195 patent, a Farmwald-Horowitz patent as well also asserted in some of our cases, where all of our claims were confirmed by the US PTO. As we said many times, the re-exam process is a long one with multiple iterations of briefs and responses. It’s important to remember that our patents remain valid and enforceable during the entire process. That’s it for the legal update, and next I will turn the call back to Satish.
Satish Rishi: Operating expenses excluding the gain from settlement from the Samsung agreement for the first quarter was $55.6 million, up 17% from the previous quarter and up 28% from the first quarter of last year. These operating expenses include approximately $7.8 million of stock-based compensation, $0.5 million related to costs for restatement, and $4.7 million related to Samsung settlement bonus accrual, which we had announced in March. Last quarter included approximately $7.6 million of stock-based comp and $0.5 million related to cost of restatement. Operating expenses in the quarter a year ago included $8.4 million of stock-based comp and a credit of $13.16 million [ph] for a recovery of these statement costs. To provide a better comparison period-over-period, I am excluding expenses and credit related to stock-based comp past investigation and the Samsung settlement bonus accruals from the discussion going forward. Excluding these expenses, adjusted operating expenses in this quarter were $42.5 million, up 8% from the previous quarter and down 13% from the quarter a year ago. The increase from the previous quarter was driven by a full quarter of expenses related to our Lighting and Display Technology Group or LDT, which we acquired in late December. We also had higher seasonal expenses related to federal taxes and benefits that typically occur in the first quarter, in the first half of the year and higher patent development costs offset by lower litigation expenses in this quarter. The decrease from the previous year was primarily due to lower litigation expenses, offset in part by higher expenses from the assimilation of LDT and higher patent development costs. As a slight note, litigation for the quarter was $7 million, down 33% from the prior quarter and down 61% from the quarter a year ago. Our adjusted operating income for the quarter was $215.2 million as compared to a loss of $8.6 million in the previous quarter, and a loss of $21.4 million in the quarter a year ago. During the quarter, we paid withholding taxes of Samsung payments, totaling $42.6 million. We recorded provision for income taxes of $45.7 million for the quarter, which is primarily composed of the resulting taxes and AMT. Since we continue to maintain a valuation allowance against our US deferred tax assets, our tax provision is based on our anticipated cash tax payment related to the quarter. Overall cash defined as cash, cash equivalents and marketable securities excluding restricted cash was at $669 million, an increase of $208 million from the previous quarter. This was primarily due to the $382 million we received from Samsung net of the withholding taxes, less $137 million we paid to settle the 0% convertible notes that matured in February 2010. We also repurchased 1.2 million of outstanding shares for approximately $26.5 million during the quarter. Now, I will give you some thoughts regarding the second quarter. I need to remind you that this guidance reflects our reasonable estimate and our actual results could differ materially for what I am about to review. For the second quarter, we expect customer licensing income to be between $45 million and $49 million, of which $35 million to $39 million will be recognized as revenue and approximately $10 million as a gain from settlement. We expect operating expenses to be between $45 million and $50 million. This includes a credit from the gain of settlement of approximately $10 million and estimate of litigation expenses of $5 million to $8 million, stock-based comp of approximately $8 million and the Samsung settlement bonus accrual of approximately $5 million. For the rest of the year, we also expect withholding taxes of approximately $4.1 million per quarter on the quarterly Samsung payment. Until we release our full valuation allowance, we will continue to record these taxes in a provision for income taxes. Before we open the call for questions, I would like to address a couple of inquiries we received from stockholders via email or through our Website. The first question is, now that you have settled with Samsung, when can we expect to re-sign Elpida? Operating expenses excluding the gain from settlement from the Samsung agreement for the first quarter was $55.6 million, up 17% from the previous quarter and up 28% from the first quarter of last year. These operating expenses include approximately $7.8 million of stock-based compensation, $0.5 million related to costs for restatement, and $4.7 million related to Samsung settlement bonus accrual, which we had announced in March. Last quarter included approximately $7.6 million of stock-based comp and $0.5 million related to cost of restatement. Operating expenses in the quarter a year ago included $8.4 million of stock-based comp and a credit of $13.16 million [ph] for a recovery of these statement costs. To provide a better comparison period-over-period, I am excluding expenses and credit related to stock-based comp past investigation and the Samsung settlement bonus accruals from the discussion going forward. Excluding these expenses, adjusted operating expenses in this quarter were $42.5 million, up 8% from the previous quarter and down 13% from the quarter a year ago. The increase from the previous quarter was driven by a full quarter of expenses related to our Lighting and Display Technology Group or LDT, which we acquired in late December. We also had higher seasonal expenses related to federal taxes and benefits that typically occur in the first quarter, in the first half of the year and higher patent development costs offset by lower litigation expenses in this quarter. The decrease from the previous year was primarily due to lower litigation expenses, offset in part by higher expenses from the assimilation of LDT and higher patent development costs. As a slight note, litigation for the quarter was $7 million, down 33% from the prior quarter and down 61% from the quarter a year ago. Our adjusted operating income for the quarter was $215.2 million as compared to a loss of $8.6 million in the previous quarter, and a loss of $21.4 million in the quarter a year ago. During the quarter, we paid withholding taxes of Samsung payments, totaling $42.6 million. We recorded provision for income taxes of $45.7 million for the quarter, which is primarily composed of the resulting taxes and AMT. Since we continue to maintain a valuation allowance against our US deferred tax assets, our tax provision is based on our anticipated cash tax payment related to the quarter. Overall cash defined as cash, cash equivalents and marketable securities excluding restricted cash was at $669 million, an increase of $208 million from the previous quarter. This was primarily due to the $382 million we received from Samsung net of the withholding taxes, less $137 million we paid to settle the 0% convertible notes that matured in February 2010. We also repurchased 1.2 million of outstanding shares for approximately $26.5 million during the quarter. Now, I will give you some thoughts regarding the second quarter. I need to remind you that this guidance reflects our reasonable estimate and our actual results could differ materially for what I am about to review. For the second quarter, we expect customer licensing income to be between $45 million and $49 million, of which $35 million to $39 million will be recognized as revenue and approximately $10 million as a gain from settlement. We expect operating expenses to be between $45 million and $50 million. This includes a credit from the gain of settlement of approximately $10 million and estimate of litigation expenses of $5 million to $8 million, stock-based comp of approximately $8 million and the Samsung settlement bonus accrual of approximately $5 million. For the rest of the year, we also expect withholding taxes of approximately $4.1 million per quarter on the quarterly Samsung payment. Until we release our full valuation allowance, we will continue to record these taxes in a provision for income taxes. Before we open the call for questions, I would like to address a couple of inquiries we received from stockholders via email or through our Website. The first question is, now that you have settled with Samsung, when can we expect to re-sign Elpida?
Sharon Holt: I will take that one, Satish. As we have mentioned previously, we are in active discussions with Elpida. It has been an important partner for us for many years. We understand you would like a definitive schedule for signing Elpida, but given the nature of negotiations, we cannot unilaterally commit to a timeframe. The important thing to remember is there are always trade-offs in negotiation, and I make these comments as a general philosophy rather than specifically for the Elpida engagement. There is always a trade-off in negotiations between the speed of close and the terms of the agreement. We know what we want to achieve in the renewal with Elpida, and we are working towards that goal. That being said, I want to make it clear that we will not rush to close an agreement that does not need our objective.
Satish Rishi: Thanks, Sharon. The next question is why did AMD renew the patent license with you now, and why can’t you disclose the dollar value of the renewal?
Sharon Holt: So, clearly, you would have to ask AMD for their viewpoint, but I can certainly share Rambus’ view on this question. We said last quarter that 2010 is a year of renewals for us. AMD was one of the licenses up for renewal later this year. In the existing agreement we have with AMD, there was a provision that AMD should notify us of their intent to renew their license before the end of the current licenses term. We received a notice from AMD stating that pursuant to the terms of the Rambus/AMD patent license agreement, AMD has elected to exercise its right to renew the agreement. We believe AMD like Samsung understands the ongoing value of licensing our portfolio of patented innovation, and unlike their competitors, they recognize the benefit of being able to offer their customers licensed solutions. The payments we will receive from AMD over the next five years will be calculated based on the growth in their business comparing their 2010 results to their 2005 revenue. Thus far, AMD is having a great year with record Q1 revenue of $1.57 billion. The other significant renewals that are coming due this year include Toshiba, Panasonic, and Renesas Electronics. Renesas Electronics is the merged entity of Renesas Technology and NEC Electronics. This was effective April 1st for those who weren’t aware. We are in discussions with all of these companies and at this stage, we are optimistic about our prospects for timely renewal.
Satish Rishi: Thanks, Sharon. The next question is with the Farmwald-Horowitz patents, family of patents expiring this month, how does Rambus plan to address its long-term revenue goal?
Harold Hughes: Let me be more precise, some of the Farmwald-Horowitz patents actually running to 2011, but that’s somewhat besides the point. As I said in my prepared remarks, we have continued to invent since the beginning of the company and certainly have continued through this period. The decision by Samsung and AMD to take a license we believe is very strong testament. So, the value of those two firms plays on our patents, our post Farmwald-Horowitz patents. We have committed not too long ago in an analyst meeting to drive revenue to $500 million a year, a significant portion of which would come from DRAM, about $300 million and $200 million from the memory control area. Obviously Sharon is working hard on that, and as you have heard from her previous remarks, we are making some progress there.
Satish Rishi: Thanks, Harold. So, with that, I will open the call up to questions. Operator?
Operator: (Operator instructions) Our first question comes from Jeff Schreiner with CapStone Investments. Please go ahead.
Jeff Schreiner – CapStone Investments: Thank you very much for taking my questions. Tom, thank you very much for the informative recap. I just want to follow-up on a statement you made to make sure I am clear and understand it properly. I think you said the panel did not review the infringement charges won by Rambus, just the validity. And if this is the case, what impact would that have on kind of the limited exclusion order being more certain if the validity is confirmed?
Tom Lavelle: Jeff, I think you are referring to the commission and the ITC case, not the panel, which I usually hear that as the CIFC. So, you are asking about the ITC correct?
Jeff Schreiner – CapStone Investments: Correct.
Tom Lavelle: We can all speculate on what the commission really wants to look at. There are only looking from what we can see validity issues. As I indicated, the three of the patents were found not invalid and infringed, the other two patents were found not valid, but infringed. We can all speculate on what that means, but I don’t see it as a bad sign.
Jeff Schreiner – CapStone Investments: Okay. And would we expect to hear something about the limited exclusion order from the ITC on or around the 24th if the decision was favorable for Rambus?
Tom Lavelle: I think we will hear one way or the other, yes, whether it’s favorable or not.
Jeff Schreiner – CapStone Investments: Okay. I was just wondering, moving on real quickly, I am wondering how maybe, Sharon, the NVIDIA decision, if positive, would impact the recently signed license with AMD? And kind of the guidance you gave, you talked about the revenue levels from today versus where they were before, would that suggest that we would be likely greater than the prior $15 million a year that was signed between AMD and Rambus?
Sharon Holt: So, as I mentioned, Jeff, in my remarks, the methodology that will be used to determine the forward going amounts that AMD will pay us was built in to the current license agreement, and it’s based on the comparison of their revenues in this year and they are on a fiscal year which mirrors the calendar year to their revenues in 2005. So, we obviously know what they were in 2005. We have to wait until the end of 2010 to be able to complete the calculation, but there was a predetermined methodology and by exercising their options to renew unless for some other reason, they would desire to come back and change the terms of the agreement and entering renew negotiation which I know indication they would like to do at this point in time. It’s surely a mathematical calculation as to what those payments will be going forward. So, they would not be impacted in any way by any other deals we would sign in the meantime or any litigation outcome.
Jeff Schreiner – CapStone Investments: Okay. And then I was wondering, Tom, just turning back real quick, how soon after a favorable – assuming favorable cap decision, could you receive the money from Hynix?
Tom Lavelle: That’s a good question, Jeff. Assuming we win that circuit with respect to Hynix, their next presumably would be to make or file a petition for Certiorari to the Supreme Court if they choose to do that, and given the timing of things, there’s any number of other steps they could take, though there is a lot of speculation in that, but I think it’s entirely possible that we could collect the funds that are in escrow and the funds that are subject to the bond and possibly the rest of the funds sometime this year. I think it’s possible, I don’t want to predict that’s going to happen, but given the unusual timing of that circuit decision, that may vary, that could happen.
Jeff Schreiner – CapStone Investments: Okay. Thank you very much for answering my questions.
Harold Hughes: Thanks Jeff.
Operator: Thank you, sir. Our next question in queue comes from Mike Crawford with B. Riley & Company. Your line is now open.
Mike Crawford – B. Riley & Company: Thanks very much. One question. Just to clarify the way the US PTO review process works. So, it is my understanding that claims are valid until there has been some kind of a final rejection. Even if there is an interim stated so-called rejection that those claims are enforceable and presumed valid until a final end. So, in the case of Farmwald-Horowitz patents that have expired, or expiring, I mean, what is the use of continuing to look at claims if they were deemed to have been valid for the whole life of the patent?
Tom Lavelle: That’s a good question, Michael, but I think the answer is probably the fact that there is an awful lot of damages tied up and people who have been infringing the Farmwald-Horowitz patents over a number of years, many of whom are already in court with us, if the patents are found to be invalid, the ability to collect those backward looking damages is obviously not available. To the extent that the patents are found valid and they seem to be doing relatively well as they go through the US PTO re-exam process, they owe us the money assuming they don’t find some other defense that gets them off the hook. So, it’s really for backward-looking damages where it’s really relevant.
Mike Crawford – B. Riley & Company: Okay, thanks Tom. In that regard, and I really don't want you to name names here, but if you could just give a broad brush of approximate number of companies that have been put on notice regarding those old patents. The approximate duration of time that they have been put on notice, and any kind of estimated TAM covered by this set of companies would be much appreciated?
Sharon Holt: This is Sharon. I will take that question. Let me start with your increase first about the number of companies, not going to give specific numbers. I did make a comment at our analyst meeting last month that if you look at the Top 20 or Top 25 depending on which company’s research you are looking at, with the semiconductor companies, most of those companies are relevant to us. If you look at our memory and memory controller innovations that we are licensing, looking at those lists gives you a pretty good idea of who the candidates would be. Speaking about the length of time, people have been on notice, I am definitely not going to discuss that, that’s obviously very confidential and relevant to ongoing negotiations. But with respect to the size of the market, I can’t comment on that. Harold said a few minutes ago what our high-level objectives are over the next few years in terms of revenue, but if you want to take a look specifically at the DRAM and DRAM controller markets, we obviously can put some numbers around that. This year based on the latest market projections, the DRAM market is expected to be roughly $32 billion. So, we have already licensed Samsung that represents about a third of the market, maybe a little bit more. And Hynix, as a result of the ongoing litigation with them, has been paying a compulsory license into an escrow account. So, portion of the market for this year is already licensed. That leaves us roughly half of the market and of course more once Hynix becomes unlicensed when they have finished paying up the compulsory license yet to go after. Over the longer run, over the next few years, we have set a target for ourselves and it is a goal, it is not a firm commitment by us, but a target that we would like to achieve of $300 million in revenue addressing the DRAM market. If you look on the controller side of the equation, in 2010 this year, we estimate the available market for memory controllers at about $46 billion. Now, a chunk of that is already licensed. If we take out Intel, which based on the terms of their previous agreement with us could be considered licensed for this period and we take out our other licensees, we think that gives us some market still to address in the $15 billion to $20 billion range. Now, that’s a much more fragmented market than the DRAM, and if you refer back to the Top 20 or 25 semiconductor companies, you can see that. That means we have more companies to address to go after that TAM, but our longer-term revenue objective there to address that market is $200 million per year. So, if you add up the $300 million over the longer term for DRAM, the $200 million for controllers, that gets you to the $500 million projection that Harold discussed earlier.
Mike Crawford – B. Riley & Company: Okay, thank you very much.
Tom Lavelle: Thanks Mike.
Operator: Thank you, sir. Our next question in queue comes from Michael Cohen with MDC Financial Research. Please go ahead with your question.
Michael Cohen – MDC Financial Research: Okay. Thank you for taking my call, and my first question would be for Sharon. Sharon, you mentioned earlier on the call that the licenses up for renewal this year are Toshiba, Panasonic and Renesas. I was wondering if you could give us the quarter – the last quarter that they're going to be making payments.
Sharon Holt: So, under the terms of the current agreement, so each of the agreement has some unique provisions. So, I don’t want to be definitive about this. Toshiba and Panasonic and Renesas and let me remind you, that is the new Renesas Electronics entity which is a combination of what was NEC Electronics and Renesas Technology. So, NEC and Renesas each had license agreements with us previously, now we are in the process of discussions with the new entity about a license.
Michael Cohen – MDC Financial Research: Okay. And it also looks like you have like three separate Toshiba licenses – actually four of them that were announced and two separate Panasonic licenses. Do they all expire this year?
Sharon Holt: No, no, that’s a good question, Michael, and let me clarify that. As you know, many of these customers have a broad patent license in place with us. And those are the licenses we are talking about that will be expiring during the course of this year. But those customers also have in some cases multiple technology license agreement with us where we are actually helping them design interfaces into their end products. Those agreements last for the life of the product and do not have definitive expiration date. So, the agreement you asked about specifically are not expiring this year.
Michael Cohen – MDC Financial Research: Okay, like XDR and that would be life of the product.
Sharon Holt: Correct.
Michael Cohen – MDC Financial Research: Without disclosing anything confidential, could you give us the quarter, which would be the last quarter that we kind of get the bulk of the payments from the companies?
Sharon Holt: The agreements expire at different times, not all at the same time during the year.
Michael Cohen – MDC Financial Research: Okay. My next question is – this one is probably for Harold. You mentioned that – or Harold mentioned that some of the Farmwald-Horowitz patents run to 2011. And that was new for me. I thought that the ’03 [ph] referenced priority back to the original 898 applications, which I think was April 18 of 1990. Could you give us a clue to some of the Farmwald-Horowitz patents that go out to 2011? And have any of them ever been asserted in any of the suits?
Harold Hughes: Let me get that one to Tom.
Tom Lavelle: Yes, Michael, there are just a few, I don’t want to give exact numbers, like two or three that have been extended and you are correct, they did all originate from the original 1990 applications, but we are extended for various reasons in the US PTO. So, there are two or three approximately patents that will expire in 2011. And I can’t recall off the top of my head whether they were asserted in any of the cases today.
Michael Cohen – MDC Financial Research: Okay. If maybe that is something you could follow-up with on maybe the next call or something, that would be –?
Tom Lavelle: Sure.
Harold Hughes: Sure, we will do.
Michael Cohen – MDC Financial Research: The next question I have is it looks like from the SEC filing the AMD license actually happened about a week before the New York Analyst Day. I was wondering if that is true, how come we didn't learn about it at the New York Analyst Day?
Satish Rishi: Let me answer that. I think we received a letter, but we had not taken action on it at that time when we had the Analyst Day. So, when we got back, we had the letter and that’s when we went and made the announcement in the 8-K at that point in time. There was a debate whether it was material or not, and we decided that regardless of materiality something which the investors would need to know about. So, we decided and filed an 8-K, although if you recall, when we initially did the AMD deal and ultimately back in 2005 and 2006, we did not issue any 8-K at that point in time.
Michael Cohen – MDC Financial Research: Okay, I appreciate for clearing that up. And it looks like the next question is about XDR2. It looks like that was originally announced in the conference call for the second quarter of 2005. And I believe none of it is in production yet, and I was wondering, can you clarify; is there any XDR2 in production? And if not, when you anticipate it will go into production, if ever?
Sharon Holt: I will take that question, Michael. No, there is not any XDR2 in production, although we do continue to work with our customers on, if you will, derivatives of the original XDR product, most recently the 1-Gigabit XDR device and last year, we also announced in conjunction with a couple of our partners some higher speed versions of XDR. When would we expect any announcement, certainly there is not anything imminent. One thing I think that’s important to understand about our strategy is it’s obviously important for us to keep innovating, that’s foundational to our strategy. And we work on defining new leadership products to propose solutions that we believe will be needed by our customers for future applications. Whether those come to fruition specifically as we envision them or not, whether it’s XDR2 or we end up calling it XDR Yellow or XDR Green or something else is less relevant to us than the fact that the new innovations are being adopted in our customer’s future products. So, we are indeed working with many of our customers on next generation gaming and graphic solutions. Whether what ultimately finds its way into those designs is XDR2 or some other next-generation products that utilize this Rambus technology is too early to tell, but we are engaged aggressively out there, and we will be a player, but not ready to say what the actual product solution will be.
Michael Cohen – MDC Financial Research: Okay, and now that almost all the Farmwald-Horowitz patents have expired, I was wondering if you could share some thoughts about the significance of what Barth 1 technology brings? And also maybe some thoughts on why you feel that the Ware patents might survive the invalidity challenges presented against it?
Tom Lavelle: This is Tom. With respect to Barth, I think the answer ought to be relatively obvious that it’s a series of patents that we have asserted and have done relatively within the ITC so far, and they tend to read on an awful lot of the controller industry based on the claims construction that we have gotten on the Barth case. With respect to the Ware patents, we think we have good arguments, we have made those to the ITC and we will see how those arguments go when they issue their ruling later sometime in May we expect.
Michael Cohen – MDC Financial Research: In Barth 1, you just only referred to controllers. Since it is a protocol, is it equally implemented on the DRAM site?
Tom Lavelle: It certainly can’t be.
Michael Cohen – MDC Financial Research: Okay. And I guess my last question would be, Harold previously mentioned that he would prefer to wait until after the CAFC to likely settle with Hynix, unless it was some sort of very creative deal. Wondering if you could kind of share some thoughts again, now that we have seen the oral arguments in terms of waiting for a decision before you would probably be serious about settlement?
Harold Hughes: I don’t think my opinion has changed frankly and Sharon and Tom, add your thoughts. We believe we did well in that hearing and it’s certainly to our advantage to run that out and then negotiate from a much strong position. It’s unlikely that as I think I have said Hynix would be in a position or be interested in making an offer that would meet our expectations with that unknown out there. So, it’s almost a self-serving structure.
Tom Lavelle: But we are always willing to talk.
Michael Cohen – MDC Financial Research: Okay. Thank you very much for taking my call. I appreciate it.
Harold Hughes: Thank you, Michael.
Operator: Thank you, sir. And our final question currently in queue comes from Hamed Khorsand with BWS Financial. Please go ahead with your question.
Hamed Khorsand – BWS Financial: Hi, let me start off with a simple one. Satish, could you repeat the revenue guidance please?
Satish Rishi: Sure, let me just –
Harold Hughes: 45 to 49.
Satish Rishi: The customer license income was 45 to 49.
Hamed Khorsand – BWS Financial: Okay. Thank you. And as far as the Mobile XDR goes, you said earlier your people are evaluating the architecture. That is phase 1 of the process, correct, before you – into a cell phone?
Sharon Holt: Yes, it’s actually a fairly complicated process, Hamed, because you have the handset companies and then of course their chip suppliers. So, there is usually someone that supplies the applications processor to them and then our memory supplier. And so, from Renesas perspective, we actually have to work with all three of those types of companies in a particular value chain in order to make a design win happen, but a larger issue right now and where we are at the architectural level, I mean the industry is clearly at crossroads, where the next generation smart phones need a level of performance that’s way, way above the current generation, and yet, obviously because it’s a mobile platform, power consumption has to be kept to a reasonable level. So, the industry has been in the process of looking at multiple different ways to solve that problem. We believe that Mobile XDR fills our gap in the market for the next generation. We continue to get positive feedback from the various players in those ecosystem about that. And so, we are in the process of meeting with many companies, as I said, handset application processor and DRAM supplier trying to get some alignment on really what the requirements are going to be for those next-generation platforms, and then of course, trying to get key partners to align with us to provide the solutions for the handset customers. So, it is a multistage process, it is a complicated process. I certainly don’t want to underplay that, but we feel very strongly that the solution that we have proposed fills the need for the market a couple of years out in time and we are going to work very hard to make sure that the Mobile XDR solution is a part of those next-generation platforms.
Hamed Khorsand – BWS Financial: Okay. And is Samsung considering the Mobile XDR?
Sharon Holt: We have been in active dialog with Samsung since the settlement and the announcement of the MOU. One of the areas that was defined in the MOU was next-generation mobile solutions and clearly Mobile XDR is the first of what we hope will be many future solutions that we can discuss with Samsung.
Hamed Khorsand – BWS Financial: Okay. And as far as this year goes from a product standpoint, any likelihood where revenue from Flash-derived technology would be significant for Rambus?
Sharon Holt: I am sorry, from Flash?
Hamed Khorsand – BWS Financial: From Flash.
Sharon Holt: Not significant, no.
Hamed Khorsand – BWS Financial: Okay, thank you.
Sharon Holt: You are welcome.
Satish Rishi: Thank you, Hamed. Well, thank you everyone for your interest. We look forward to seeing some of you at our annual shareholders meeting next Thursday. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s program. Thank you for your participation and have a wonderful day.